Operator: Good day ladies and gentlemen, welcome to the third quarter 2009 Albemarle Corporation Earnings Conference Call. My name is Leticia, I will be your operator for today's call. At this time, all participants are in a listen-only mode. We will conduct a question and answer session towards the end of this conference. (Operator Instructions). As a reminder this conference is being recorded for replay purposes. I would now like to turn the call over to Ms. Sandra Rodriguez Director of Investor Relations, please proceed ma'am.
Sandra Rodriguez: Thanks Leticia. Good morning everyone and thank you for joining us today for a review of Albemarle's third quarter results, which were released after the market closed yesterday. Our press release contains preliminary results for the quarter which are, as you know, subject to further review by the company and our auditors as part of our quarter end review process. Please note that we have posted supplemental sales information as well as reconciliation for net debt and EBITDA on our website under the Investor Information section at albemarle.com. I would also like to caution that remarks today containing forward-looking statements, factors that could cause results to differ from expectations are listed in our annual report on Form 10-K. Participating with me on the call this morning are Mark Rohr, Chairman and Chief Executive Officer; Luth Kissam, Executive Vice President; John Steitz, Chief Operating Officer and Rich Diemer, Chief Financial Officer. At this, time I'll turn the call over to Mark.
Mark C. Rohr: Thanks Sandra. Good morning everyone and thank you for joining our third quarter conference call. I will begin today with a few opening remarks on the company's quarterly results and our current view of how improving market trends impacted our business in the third quarter, and how these trends continue show signs of further improvement. Luth will follow with a brief update on the Company's productivity and cost reduction efforts. John will cover the segment performance sharing his insight on each business and Rich will wrap up with the financial highlights. As you're seeing from many reports, the case is being built that the U.S. economy bottomed in the second quarter and that we're experiencing early stages of recovery. We've certainly seen this in our markets. Activity in all sectors has stabilized. The sense of pre-fall we've been living with has diminished and volume improvements in virtually every sector are underway. Perhaps most noticeable, the year-end warning signals from some Asian customers we spoke about on the last call have yet to materialize which bodes well for Albemarle to wrap up this year. Before moving onto quarterly results, let me take a few minutes to highlight some of the strategic initiatives underway. First I'm pleased to announce Barry Perry would join our Board effective January 1. Barry served as Chairman, Chief Executive Officer of Englehard from 2001 to 2006 which is now part of BASF, and prior to that, he had a distinguished career with General Electric and Rhone-Poulenc. He brings a wealth of experience in polymer science and global leadership that will be a strong addition to our Board. We look forward to Barry's contributions and welcome him to the Albemarle team. I hope you had a chance to see our press release this morning where we announced the formation of a joint venture between Albemarle and Saudi Basic Industries Corporation. Due to this venture, the two parties will build a World-Scale Organometallics production facility in Al-Jabal, Saudi Arabia. Our Polyolefins Catalysts business has grown nicely over the past two years and has become a strategic component of the company. The Polyolefins market has substantial needs for Catalysts. They can help customers' differentiate their product lines. Albemarle, the leading provider of advanced technical solutions for this market, with this joint venture will become the first manufacturer of these components in the Middle East. We're obviously very excited about this joint venture and expect it to be the foundation for the opportunities in the region. Early this month the American Chemical Society jointly recognized Albemarle and it's consortium partners, Lummus Technology and Neste Oil with a award for our Affordable Green Chemistry 2010 award for Affordable Green Chemistry for AlkyClean Technology. This is another great example of our commitment to sustainable value added solutions. AlkyClean solid acid alkylation process significantly improves the safety of the refinery processes. Besides this environmental advantage, the technology also improves operational economics, while this business is generating very modest earnings at this time and has good potential as a green solution for the refinery industry. With that, let me now address the company results. On an extremely challenging first-half of 2009, I am very pleased with the advances we have made in number of our businesses this quarter. The positive momentum regained across the portfolio drove earnings of $0.57 per share for the third quarter. Sales revenue was 515 million versus 660 million at same quarter of 2008. But compared to 445 million last quarter, our sales increased 16%, driven by sequential volume improvement of nearly 22%. Net income for the quarter was 52.1 million, down 7% from the third quarter 2008, up 35% from last quarter. Segment margins increased 90 basis points year-over-year and 140 basis points sequentially to 14.3%. This level of profitability highlights the progress we've made by lowering our breakeven point. A number of end markets are gaining traction including Consumer Electronics where our flame retardants are used. Manufacturers are restocking depleted inventories and haven't seen the slowdown that we anticipated earlier than second half. Better demand coupled with our continued cost management efforts led to top and bottom-line sequential improvements in our polymer segment. Stated another way, polymer's profitability for the third quarter has more than tripled the combined profitability of the prior three quarters. Following a tough second quarter in Fine Chemicals, the segment rebounded nicely on improved sales volume. New product sales, improving demand across our bromine chain and increased cost absorption all contributed to Fine Chemical’s segment income of 14.2 million, which exceeds segment income for the first half of 2009. Lag in volume recovery in the Completion Fluids business was a drag on earnings this quarter and I expect that will continue until drilling activity improves. Our Catalyst business performed well in the quarter with sequential volume improvements across the Board. The business delivered impressive profits of 33.4 million and were not for unfavorable variances in Polyolefins Catalysts and one of our joint venture would have done better. We've included several new product offerings over the last few months or our new nickel molyb catalysts that enhances auto cracking performance and FCC catalysts significantly boost cracking yields. These two technologies are taking hold and will be a key enabler for our continued growth in refinery business in the quarters ahead. Turning now to input costs, for the third quarter gross raw material and energy cost were roughly 58 million below the third quarter last year, with approximately 60% of this in metals. Excluding metals, we currently expect full year raw materials to be roughly 60 million lower than 2008. That said, petroleum based stocks continue to rise on a sequential basis and energy is following similar trends. Natural gas prices are expected to climb in fourth quarter to a level near those we experienced last year. We expect total year-over-year energy cost be down 20 million, and altogether, we are looking at year-over-year input cost to be roughly $200 million below 2008, reflecting both price and volume. Taking metals out of that estimate, we are looking at about $80 million year-over-year variance. Cash and equivalence as of September 30, was $260.4 million levels exceeding our year end levels despite paying off over 100 million of debt. Inventories are lower than they were at June 30, despite the continued pickup in the pace of the business. Our balance sheet gives us the financial flexibility to capitalize on these opportunities. I'd like to salute the tremendous effort achieved on working capital and cash generation in this quarter. Looking forward, while the rebalancing of globally economic landscape is still a work in progress, we expect strong growth in Brazil, China and Korea to support lower levels of growth in U.S. and Europe. The good news is we are talking about growth in all regions. Fourth quarter shift shows sequential growth on the back of improved volumes in Fine chemicals and Catalysts. HPC and Polyolefins Catalysts should both grow sequentially as will fine chemistry services and bromine volumes. The demand for our flame retardants has started to rebound nicely as indications suggest a steady and sustained recovery in printed circuit board and connectors market. Based on what we're seeing in October and assuming that world doesn't come to an end after Thanks Giving, Albemarle should deliver solid fourth quarter results in what is typically a seasonally a soft quarter. Taking an early look at 2010, volume growth will be augmented by a number of new product offerings across our portfolio. Year-to-date, new product introductions account for about 33% of total net sales. A large portion of that is in Catalysts where we launched several new products over the last year. And we're soon going to introduce breakthrough technology of eco-friendly polymer products that promote sustainable and improved performance for our electronics customers. Additionally, our Fine chemistry service pipeline has a very healthy composition of pharmaceutical, Ag and other product development projects. With that, let me ask Luth to comment on our progress with productivity initiatives.
Luther C. Kissam, IV: Thanks Mark and good morning everyone. We've talked before about the restructuring efforts we’ve embarked upon in the U.S. and Asia, had planned in Europe to reduce our operating cost by 160 million versus 2008 costs. These actions will reinforce the company's ability to deliver quality earnings during the slow or robust economy. I'd like to give you an update on where we are to-date on these efforts. For the first nine months of 2009, our costs were about $85 million lower than for the same period in 2008, that figure excludes the one-time accrual reversal of $8 million in the first quarter of 2009 and the favorable currency impact we're experiencing year-to-date. We're also working hard to change the way we operate, to make sure that we keep these cost out even as volumes return. In the third quarter, we took some additional steps that are critical to the success of this restructuring. In September, we initiated the consultation process with our employees at our EU headquarters in Brussels and with the respective Works Councils at our Martinswerk mineral flame retardant plant in Germany, and our Refinery Catalyst Center in the Netherlands. These consultations are required under local laws prior to any restructuring at those sites. At this stage in the process, it is not possible to predict the timing or amount of any special charges related to any restructurings. But our best guess is that we will incur special charges totaling in the range of 10 to $15 million over the next few quarters. The goals of the consultation process and improving restructuring actions is to have the right processes, procedures and controls in place to achieve operational efficiencies and create a more flexible and cost effective operating structure. As part of the restructuring process, we are looking to establish a global center of excellence for transactional processes in Budapest, Hungary. This center will consolidate our transactions across Europe and in some essences across the globe. This new center which is a part of the Project One Albemarle that we have talked about with you before, will lower our cost and make us more efficient, creating a stronger and more sustainable business model for Albemarle. In addition to cost reductions, we continue to focus on working capital. Even if demand and production rates have increased throughout the year, we've kept our inventory levels at historically low levels while still meeting the demands of the customers. Rich will talk more about our results to-date a little later. But the important aspect is that we have fundamentally changed the way we forecast, produce, and deliver products so that we can keep our inventory levels down. In closing; our year-to-date results continue ahead of schedule with regards to our cost reduction initiatives. There remains a lot of work to do, but we have plans in place that make us comfortable that our target is achievable. We'll continue to update you on our progress of the coming quarters. With that, I'll turn it over to John.
John M. Steitz: Thanks, Luth and good morning everyone. And let me start with Catalysts. Catalysts business saw sequential increases in volumes and revenue in the third quarter. HPC, FCC and Polyolefin Catalysts delivered on sequential top line growth. Sales revenues were $189 million, down 18% compared to the same quarter last year, but up 12% sequentially. Majority of the year-over-year decline is lower metals cost passed through to customers. Molybdenum pricing alone diluted revenue by nearly $40 million. Segment income was $33.4 million for the quarter driving a healthy 18% segment margin, a 190 basis point improvement over the third quarter of 2008. However lower joint venture income and royalty income negatively impacted profitability in the quarter and I'm sure we'll talk more about that later. We have a lot of moving parts in Catalysts that on the whole create a very solid business. October volumes were up to a robust start and product pricing across our business is holding steady. DOT's latest release on traffic volume trend showed miles driven increased over the past few months, following negative trend since January. We look at this as one indicator of FCC catalyst demand but we also believe miles driven is an important indicator to help the economy in general. Our strong catalyst technology base and broad range of high performance products strengthen our market position to deliver real value at a critical time for the industry. In Fine Chemicals: Net sales for the third quarter increased 25% sequentially to $130 million. Fine Chemicals segment income for the quarter was 14.2 million; a healthy rebound from last quarter's level with segment margins coming in 11%. Obviously, Fine Chemicals business made great strides. Nearly every division of our Performance Chemical sector showed operating profit growth compared to the second quarter. This includes completion fluids which had strong sequential volume improvement outside of the Gulf of Mexico. However, these volumes were primarily of our lighter grade products reflecting the nature of the more easily extracted crude oil production. While U.S. rig counts are still at low levels. We expect completion fluid's demand to be modestly better in the fourth quarter and albeit with the better mix. We turned up production in our Bromine assets to meet demand requirements. This resulted in improved fixed cost absorption. Utilization was approximately at least 65% as we continued to avoid any inventory build. Our Sorbent business also had a nice uptick this quarter. Our Biocides Treatments business in the food supply chain are gaining traction. This business has good long-term growth potential as the beef and poultry industries look for more effective food safety solutions. Our Fine Chemistry services, sales and profitability also showed good sequential improvement. Results benefited from our seasonal lag intermediate sales and also from new pharmaceutical and crop protection business. We're hopeful that our proven success with the Tamiflu intermediate will lead to broader opportunities among our customer base. All in all, the team executed very well on the opportunities we talked about last quarter and we feel confident of continuing improvement in Fine Chemicals. Turning now to Polymers. Our Polymer segment delivered another quarter of sequential double digit volume growth, revenue of 197 million was 25% below the third quarter of last year but increased 14% sequentially. Third quarter segment income was slightly lower than third quarter 2008, but surpassed second quarter by $11 million or nearly 78%. Polymer segment margins of 13.2% are the highest they’ve been since mid 2007, great execution by the team. Better flame retardant volumes and lower unabsorbed manufacturing cost drove the sequential profit improvement and margin expansion in the quarter. We did not see the sudden spike in demand in flame retardants like last quarter. It was more of a steady increase each month with September being the strongest. October is off to a good start, especially in our brominated flame retardants business. Mineral flame retardants are showing a modest up tick, improving market demand coupled with the successful cost reduction efforts that Luth described should start fueling improved profitability in our mineral based flame retardants business in 2010. We feel good about where we stand at this point. Thanks in large part to the hard work and can-do spirit of our employees around the globe. The strategic actions we have taken to control our own destiny during and after the economic challenges make us stronger operationally and financially. So with that, I'll turn it over to Rich.
Richard J. Diemer, Jr.: Thanks, John. I will cover the following financial matters on today's call. Taxes, corporate expense, CapEx, our quarter-end balance sheet and financial position and lastly working capital and cash generation. We've lowered our estimates for our full year effective tax rate on an operational basis that is ex one-time items to 12%, down approximately 2% from our prior view. As a result, our Q3 effective tax rate was just under 10% as we recorded a true up for the full year. The lower full year rate is due principally to higher actual and forecast level and mix of income principally from JVC, our Jordanian venture that is not subject to tax. Our 2010 effective tax rate for planning purposes is 20%. So, clearly our current tax rate is a short-term consequence of various factors including our current level and mix of income. We will update our view of our 2010 effective tax rate during our year-end earnings call. Unallocated corporate expense in Q3 was 10.1 million, at expected levels for the quarter. My best estimate for Q4 corporate expense is a range of 11 to $12 million. Our EBITDA in the quarter was 88 million, down 15% from prior year, but up almost 20% from last quarter. As we start to lap the economic turmoil by EBIT rate last year, we anticipate positive year-over-year EBITDA accounts for the foreseeable future. CapEx for the quarter was 23 million. We expect full year CapEx will now be in a range of 95 to 100 million. Depreciation and amortization in Q3 was 24 million and our best estimate for full year D&A is a 100 million. Including 49 million of debt at JVC our Jordanian venture, our quarter end consolidated debt was 821 million, down 27 million from last quarter and 111 million from year end. 442 million of our debt at floating rate and 379 million at fixed rate, roughly a 55:45 ratio. Our floating rate interest rate was 0.8% at quarter end. The weighted average interest rate for Q3 was 2.6%. Net of 260 million cash on hand, and excluding 27 million of un-guaranteed debt consolidated JVC debt, our net debt decreased 115 million in the quarter to 533 million, it’s lowest quarter-end balance since June 2004 just prior to our Refinery Catalysts acquisition. Our debt-to-cap ratio is just below 40%, our net debt cap is now 31% and our debt to EBITDA ratio is approximately 2.9 times. We expect our debt to EBITDA ratio to decrease in future quarters from this level. Cash flow from ops was 152 million in the quarter and 259 million year-to-date. We have reduced net working capital by 113 million year-to-date, with the significant contribution coming from our efforts to move to a made to order model. Inventories are down 175 million since year-end and decreased 22 million this quarter despite the increasing phase of business. With that I'll hand it back to Sandra.
Sandra Rodriguez: Thank you Rich. Okay, we would like to open it up to your questions at this time.
Operator: (Operator Instructions). Your first question comes from the line of Kevin McCarthy of Banc of America/Merrill Lynch. Please proceed.
Kevin McCarthy - Banc of America/Merrill Lynch: Yes, good morning. Mark congratulations on inking your Organometallics joint venture in the Middle East. I was wondering if you could comment on how the 6,000 tons of TEA equivalence there compares to your current capacity and what the capital expenditures are associated with this expansion?
Mark Rohr: Well, the capital in rough numbers would be about $80 million, we think Kevin. Total in that and of course this is a joint venture and it will have its own financing. So, that's our best estimate right now in that. As a percent of the total, I won't really give that kind of specific numbers, but if you look at the growth in that region and you look at the diversification of our business, it really does not add any material capacity to the mix here, as we see it anyway going forward. So I would look at this as a industry wide capacity addition, it’s more satisfying, a huge growing demand in that region and existing capacity is being converted to other products this time as we go forward.
Kevin McCarthy - Banc of America/Merrill Lynch: Okay. And then a follow up if I may for John on Catalysts. I heard you mentioned the 12% sequential sales increase in terms of profit, there was a sequential decline at the operating level. I was wondering if you could help us understand why there would have been a negative contribution margin there?
John Steitz: Yeah, thanks Kevin and that's an obvious and very good observation on the business, because we've worked hard to get a good understanding of that. So if you look at the business sequentially, first; we mentioned the mixed impact in Polyolefin Catalysts and really as the quarter developed, we kept a very close eye on inventory levels of the basic business and we reduced production volume sequentially which resulted in between 4 and $5 million negative variation in Polyolefin Catalysts. So that's the biggest impact. We also had some other smaller impacts. One of the JVs had a major customer who had an unscheduled shutdown in the FCC area in South America, that was about a million bucks. And then we actually... for the last couple of years we generated Catalysts business as you can imagine has been quite strong and this is the reference to royalty income and sequentially our JV partner did not get a couple of fairly large orders out at the end of the quarter and that reduced income in royalties which is not in minority interest, that is accounted for base business and that was just ahead of $3 million impact there.
Kevin McCarthy - Banc of America/Merrill Lynch: Okay. And then finally if I may on HPC Catalysts, what were the volumes in 3Q and what would your outlook be for that business volumetrically in the fourth quarter?
Mark Rohr: Well you know that's always the $60 million question, right. But the volumes grew sequentially year-over-year and nicely sequentially. They were handily over 4,000 tons. And we're hoping to beat that number again in the fourth quarter. We're up to a good start and we still have strong projections for 2010 as well Kevin. We're getting more and more, what I would say emergency type of requests, because as you know the industry is quite stressed now.
Kevin McCarthy - Banc of America/Merrill Lynch: Okay. Thank you very much.
Mark Rohr: Well, thanks Kevin.
Operator: Your next question comes from the line of P.J. Juvekar of Citi. Please proceed.
P.J. Juvekar - Citigroup: Yes hi, good morning.
Richard Diemer, Jr.: Good morning Joe.
P.J. Juvekar - Citigroup: Wanted to go back to HPC volume question? Did you say that your volumes are up year-over-year?
Richard Diemer, Jr.: Yes, you bet P.J.
P.J. Juvekar - Citigroup: You guys had said earlier that refineries were pushing out these catalyst changes. Can you talk about that and is that still happening and I have a follow-up question on heavy versus light crude.
Richard Diemer, Jr.: Yeah. P.J. Let me clarify it. Year-over-year, the sales number is down and that is mostly the molybdenum impact, as year-over-year that was significantly down. Okay, but yeah, the condition of the refining industry is really difficult right now and the customer base is really doing almost anything they can to delay these types of expenditures. But as we look at the total business, we really have a lot of options for our customer base from regenerated rejuvenate catalyst to topping off reactor fills just to keep it going a little longer to a whole range of different lifecycle options for the customer base. But at the end of the day, these things have to be replaced at some point and I think that's what we saw in the third quarter is the beginning of that trend.
P.J. Juvekar - Citigroup: And refineries are sort of shifting more towards light accrual, is that having an impact on this change-outs and all that?
Richard Diemer, Jr.: Basically I think directionally the changes in refineries on a comparable basis does yield longer catalyst life P.J. So yeah, we are also seeing and as they’ve shifted [inaudible] of the bulk average sulfur in the pool has actually gone down a bit from where it was a few years ago and those things called compound, but to build now what John talked about is we are seeing volume growth in HPC, but you need to appreciate that that the absolute volume level was lower than we thought it would be a few years ago when we forecasted where we'll be at end of this year, by maybe 40% or so. So we got our ways to get that back up. The refineries have been pushing out now for well over a year, maybe as much as 17, 18 months and we are seeing sign of that weakening, we are seeing some stronger order patterns, I think we're going to be in a period of pretty decent HPC growth for the next year or so as we kind of overcome this situation that we're currently in.
P.J. Juvekar - Citigroup: And just finally a quick question on your tax rate. How do you get there, I mean are you running bromine full out in Jordan because there is no tax and Arkansas is curtailed, is that how you get to that lower tax rate?
Mark Rohr: Yes. It's pretty simple, we've done everything we can do in Jordan, unfortunately we're not making a lot of money in the U.S.
P.J. Juvekar - Citigroup: Okay. Thank you.
Mark Rohr: Yes.
Operator: Your next question comes from the line of David Begleiter of Deutsche Bank. Please proceed.
David Begleiter - Deutsche Bank North America: Thank you. Good morning.
John Steitz: Hi David. Good morning.
David Begleiter - Deutsche Bank North America: Hey John. Bromine as far as given the improving demand trend, are we getting close to a price increase?
John Steitz: Well, we're keeping a close eye on it, David, and in some selected products, we are going through with price increases on some of the niche specialties. I think you need to keep in mind that the trend now what we're seeing is a raw material based specially in bromine flame retardants, related to benzene, phenol and BPA type raw materials is going up too. So that's kind of an offset to any price increase effort, but we're keeping an eye on China.
Mark Rohr: John? (Technical Difficulty)
Operator: Thank you for your patience. Your conference will resume shortly. Again, thank you for your patience and please standby.
Steve Sherman - Lafayette Research: Guys are you there?
Mark Rohr: Yes, we are here.
Steve Sherman - Lafayette Research: I am sorry. Having some problems here. I have noticed this year you have had pretty good builds for the new HPC units and FCC also. Are you guys hearing from your business unit, mainly, these guys are pushing back on existing units as far as new fills or are you getting new business, actually new fill, your fills been negative.
Mark Rohr: Okay, yeah, so is this?
Steve Sherman - Lafayette Research: I am sorry it’s Steve Sherman from Lafayette Research.
John Steitz: Yeah Steve. We got disconnected, I apologize to everyone for that, not quite sure what happened. But if I could I might just ramp up David Begleiter's question by saying and Steve and I'll go into your question.
Steve Sherman - Lafayette Research: Yeah, of course.
John Steitz: About bromine pricing we've seen in flame retardants, we've seen fairly a lot of inflationary trends out of China and this certainly helps the competitive balance and we're just going to keep a close eye on that to turn the year. And solid volume growth is always a good foundation for driving pricing especially in what we see as a potential inflationary environment on the key raw materials in flame retardants. So with that Steve, maybe you could repeat your question. We'll get back on track here.
Steve Sherman - Lafayette Research: Absolutely. I think contrary to your perception; refineries have actually built a number of hydro treatment units. It’s very good growth this year, and also are starting to pickup, actually building new FCC units. Are you seeing them bring these into operation, are they holding off on these and just sort of using your existing units right now? So are you getting new business or are you mainly refilling the existing units?
John Steitz: Yeah. Thanks, Steve. We're seeing most of these are refills. We haven't seen a lot of the new units come on-stream yet with the exception of India, there's been some activity in India. And, but we're hopeful as the economy improves, that fuel demand growth will improve, we'll see some of those new refineries kick in probably 2011 timeframe and beyond. It’s mostly refills, to answer to your question.
Steve Sherman - Lafayette Research: Thank you.
John Steitz: Thank you.
Operator: We will now continue with the line of David Begleiter of Deutsche Bank. Please proceed, sir.
David Begleiter - Deutsche Bank North America: Thank you. I just had one more question on FCC pricing, it's been stable for a while now. What's the next move in FCC pricing you think up or down and when might it move?
John Steitz: Yeah. David, we always study that, the volumes have been, I'd say recessed, not depressed but mostly due to U.S. volume trends. We're starting to see a up tick, as we mentioned, had a lot of seasonal help in the third quarter, our fourth quarter volumes look good. Raw material cost; they are what I'd say a big inflationary going forward with ATH and some of the base fillers like rare earths and things. So we are keeping a close eye on that and I would say we could have better direction on future FCC pricing at the turn of the year. So we're going to keep close eye on.
David Begleiter - Deutsche Bank North America: Thank you very much.
John Steitz: Thank you.
Operator: Your next question comes from the line of Mike Sison from KeyBanc. Please proceed.
Michael Sison - KeyBanc Capital Markets: Hey guys, nice quarter.
Mark Rohr: Thank you.
Michael Sison - KeyBanc Capital Markets: Can you give us a little bit of background on, I'm not sure some of the assets on Tamiflu, how that's ramped up this quarter, what’s the potential for that business heading into the fourth and 2010 would be?
Mark Rohr: Yeah. I'll take a crack there, Mike. We had really solid execution by our team both on the business side and especially the manufacturing side. It probably helped us in the tune in the quarter about $0.02 to $0.03 and probably it has the same impact in the fourth quarter. It's really too early to tell what our customer will do there next year. But there is a lot of noise about very low vaccine yields for the swine flum and Tamiflu is just a great alternative to that solution. So I think we are fairly bullish on it, not only for increasing Tamiflu volumes next year but also Ibuprofen. I mean Ibuprofen is an excellent pain and fever reducer and we're starting to see some I'd say finally on Ibuprofen some nice volume trends here in the fourth quarter on Ibuprofen
Michael Sison - KeyBanc Capital Markets: Right. Then, Mark, longer term when you think about polymer additives, for last few quarters, the incremental improvement in profitability continues to come in pretty good relative to what you saw historically. So, if you think about recouping a good portion of the volume declines this year at some point in time, next couple of years, can you sort of walk us through what the new sort of incremental margins for polymer additives would be as the economic environment improves?
Mark Rohr: We actually do a lot a lot of work on a part of manufacturing and business, we’ve lowered the breakeven in that business pretty materially. And so you're seeing profit levels at a lower... frankly we're seeing higher profitable volume levels, low volume levels we don't think we can quite get there. And that's been just really good performance. As we look out Mike, we have a host of new products. I promised last quarter, we're just still not quite ready to introduce them, we’ll introduce some shortly, that we think we are going to bode well going forward. We think some of the trends reinforce various components of this business. We delayed the anti-oxidant plant for a while in China and they’ve restarted that capital project and frankly [inaudible] for that business is doing very well and growing. And we are seeing opportunities even in some of it like phosphorus that were pretty weak for us. So when you combine all those things together we are pretty bullish on our ability to give back to where we were in that business in next year. Now if you look at longer term in the year, what we are hopeful is that business will process [ph] kind of margin levels that we've been advertising in the past. We believe that should be a high teen margin business, if you look at the value add we got there, there is no reason we shouldn't get there. And well I'm not sure whether we would get there in 2010 or not it’s probably 2011 but I think we'll begin there.
Michael Sison - KeyBanc Capital Markets: Thanks. And last question on HPC, is there sort of a way to help us understand, maybe if refinery margins improve to a certain level or if customer profitability improves to a similar level. How do you sort of absorb all the expansion capacity that you had and really get the benefit of all the earnings potential in HPC? Give us some of the metrics of what you need to see from customers tos start to really see some of these volumes pick up?
Mark Rohr: Mike, what this industry has been about is delivering our value technology and in the -- our value technology enhances throughput, enhances yields and in the low margin scenario, of course cost has been a bigger factor for refineries than yields as a broad generalization. So we need to see these margins get enhanced a little bit. We need to see throughput pick up a little bit. John commented on some of the trends we're seeing in fuel demand which is a positive relative to the volumes picking up, you've also seen announcements of refineries shutting down which is unprecedented in this industry and that's going to afford some additional consolidation. I think the gasoline being moved from Europe with a long gas link to the East Coast. It's having a pretty dramatic impact and that's going to run as course over the next year to 18 months and that's going to leave some of the pressure that we see, of course refineries see, I think as you go forward. In the Middle East, in India we're seeing a lot of build out there that’s going to be coming in. We originally thought that would be coming in the 2011 kind of time frame, that's probably 2012 now, but it’s still happening, but it's been slowed a bit. So when we roll all those things together we see this business restarting, if I’ll say that, should be back where we were in nearly 2003, 2004 time frame. We see a restarting, we expect to see this nice gradual volume growth that we saw actually in ’04, ’05, and 2006 through this business. So I guess what I would say to you Mike is that our expectations are that we will be able to achieve the higher level of profit even at lower HPC volumes than we had in the past been able to because of our breakeven point. And by the time we get to the 2011 kind of time-frame we'll have this business where we had though it would be in 2009.
Michael Sison - KeyBanc Capital Markets: Okay, great. Thank you.
Mark Rohr: Thanks Mike.
Operator: Your next question comes from the line of Bob Koort of Goldman Sachs, please proceed.
Robert Koort - Goldman Sachs & Co.: Thanks. I wondered if you guys could help me out on the Fine Chemical side. You give a bridge for each segment in terms of the year-over-year sales. Can you talk about the operating income, you sort of had a 10 million a dollar whole year-on-year, how much of that was from price volume, fixed cost and I'm trying to get a sense, I know you've talked in the past about the utilization rates to bromine or affecting that business. But what I'm trying to put it in the context and think about what might happen if life gets better in that bromine division?
John Steitz: Yeah, Bob, I'll take a crack at that, because just to answer your question, the year-over-year impact in fine chemicals was really all bromine. And it all comes down to what we classify as industrial bromides, which is primarily clear brine fluids. And so that's the big volume impact and then you have the year-over-year volume variance around the bromine related assets that impact Fine Chemicals, so that roughly $10 million decline is all related to bromine.
Robert Koort - Goldman Sachs & Co.: And John I think you've made some comments about having some optimism for catalyst next year. Mark, I'm wondering if you look broadly across the company, I know your friends over selling these gave some pretty powerful comments about how much better ten could be than nine, even without a lot of economic help. Can you give us some sense of how you look at that if we don't get a pick up in the context of your self help initiatives and anniversaring that black hole early in the year, what kind of numbers you might be thinking about?
Mark Rohr: Well. We'll do a call here in a month and half or so as we do it on the quarter call, and be to better position it, but let me build on that just a little bit. We set out with the objective of pulling out $160 million of cost and you recall, we talked to the street about that Bob. We said that, we wanted to get back to absent volume growth, we wanted to get back to the kind of earnings level we've had prior to the fall of the recession occurred. And Luth gave you an update on that and we're on track with that, we still got more work to do next year, so we feel pretty good about our ability to deliver that base level of business. Now we've already starting to see some volume improvement and we're starting to demonstrate the value of that productivity improvement with our breakeven there. So, I am bullish on 2010 and I feel good about 2010 the way it’s stacking up today, year-over-year I think we're going to see some strong profitability growth and we'll see it across all segments, this is my expectation. The lagger that we still worry about to be honest are bromine as John mentioned, a lot of that goes into the old business, and that business is down probably half year-over-year. And it's hard to imagine if that's going to immediately return in that segment. So those guys have a lot of work to do to overcome some of their shortfall, but I hope we can make it up in other areas. So we're pretty bullish on next year and I just like to hold off on giving any kind of view on numbers to show.
Robert Koort - Goldman Sachs & Co.: And then can you talk a little bit about Catalysts, and I think from the outside, we've been pregnant with this recovery for a long, long time, this refill cycle and it seems to keep missing it little bit, some of your competitors posted a little bit more robust results recently. Should we worry about market share issues here, Mark?
Mark Rohr: No, I don't think you should. I mean this business as you know has a lot of moving parts to it. And John just talked about one which is throughout the income, so some of that shortfall in volume we make up in other ways with our proprietary technology. I think if I could say anything, when we purchased this business, there was a lot of attention being placed on HPC in doing this deal for HPC and perhaps we even supported that with our belief system as well. The reality is that portfolio is a lot more diversified than you led to believe, if you just look at HPC volume. And so between the technology or moving in alternative fuels between the advances we've got in FCC between HPC and what we're doing there, in Polyolefin Catalysts, it’s just a piece Bob. And so I think I would not hang the future of that segment of this corporation on that business, it’s going to do well, but that business is going to do a hell lot better because of all the things that are going on.
Robert Koort - Goldman Sachs & Co.: And if I may ask, one last one, I appreciate the time. The last quarter you had the Polyolefins business, it seemed to have produced some pretty outsized margin, was that sort of a one quarter blip or can you give us some more color and you mentioned it's not all HPC and catalyst, so what's the trend or outlook in that part of the business?
John Steitz: Yeah Bob, this is John. I'll take a crack at that. So year-over-year Polyolefin catalyst again had some pretty extraordinary results. And as I highlighted to one question earlier, there was a lot of volume variation in the quarter and that's, looks like it's coming back in quarters going forward. So, I think the income on that business is generating the kind of margins it had last quarter on a pretty routine basis. And this announcement of our joint venture with Sorbate really cements some future growth in my mind in that segment for clearly decades to come. So, this announcement this morning we're really excited about, and think that that will really preserve, help preserve the growth of this business for a long time to come.
Robert Koort - Goldman Sachs & Co.: Thanks.
Mark Rohr: Okay, thank you.
Operator: Your next question comes from the line of Laurence Alexander of Jefferies. Please proceed.
Lucy Watson - Jefferies and Co.: Hi, this is Lucy Watson getting in for Laurence.
Mark Rohr: Hey Lucy.
Lucy Watson - Jefferies and Co.: Just couple of quick ones. Did consumer end market demand improve sequentially just in electronics did you see stabilization in other polymer solutions consumer end markets as well?
Mark Rohr: Well that's the biggest, I mean that's sort of all the end markets that we tend to look at Lucy. So, within that component for us, if you think about automobile production, it's certainly up and we're seeing some increased demand for our products that go into some of the automotive solutions that are there. We've not seen very much in construction, although it's not going off this dramatically in Europe and in Asia, of course, as it is in the U.S. So the big story really is consumer electronics, but we did also see some uptake in automotive.
Lucy Watson - Jefferies and Co.: Okay, and can you provide an update on customer trials for your environmentally friendly offerings?
John Steitz: Lucy, we've had some success on customer trials early on, customers like what they see and these are primarily in closure with large television producers. Also this would aid the PC market and we are planning a more significant production trial in the first quarter to continue to satisfy that demand. But this is really a longer term play for us, this segment will really help preserve our... on the flame retardants business for a long time to comment that's why we are so excited about it because these products have such a fantastic safety profile, great health profile, they are polymeric in nature, so they are not bio-accumulative and they're recyclable as well. So, we'll work with our customers over the long haul to keep these products out of the environment and it can really help us for the long-term and so we're so excited about it. Thank you.
Lucy Watson - Jefferies and Co.: Thank you.
Operator: Your next question comes from the line of Dimitry Silversteyn of Longbow Research. Please proceed.
Dimitry Silversteyn - Longbow: Good morning. I just wanted to follow-up on the comment you made in your prepared remarks, when you talked about expecting sequential growth to continue, were you talking about all the business in general or one particular area because sequentially, typically your polymer additives business can have a little bit of a downside, but you are looking for sequential growth across all your divisions in the fourth quarter on the top line?
Mark Rohr: We're looking for growth, corporate growth and we're looking for fine and catalyst growth. I think it's impossible for us to call it on polymer additives. Normally we would see a little bit of a dip there, I think we could well see that dip here a little bit. But so, that was really a comment on the corporation as a whole, and with the specificity I would give, we feel pretty good about Fine, we feel pretty good about catalyst and it's hard to call polymer solutions given the... still remaining anxiety in that market with inventories and things like that.
Dimitry Silversteyn - Longbow: Sure. Okay, and secondly I understand that your position and pricing in FCC, it's obviously in an environment of volume declines it is difficult to push pricing through. But with raw material cost going up, are you seeing a little bit more results from the market and your peers in the market to push through higher pricing, or are you still caring the water for the most part in that endeavor.
Mark Rohr: I'd say generally, we're seeing some positive trends here Dimitry, where some concerns are still in Europe but generally, positive trends, to confirm what you just described. Thank you.
Dimitry Silversteyn - Longbow: And then just finally, you talked about the brominated FR polymerized version being little bit of a longer-term development that is going through some L4 data testing. But the new FCC Catalyst that's supposed to enhance gasoline yields in area where you haven't played much before, and the HPC Catalyst you talked about during your Investor Day that lowers operating pressures and temperatures, are those making their way into the market and I just remember, going back to one of your competitors a few years ago, when they launched their gasoline enhancing FCC Catalyst, they seem to have really picked up a lot of share over the course of several years. When should we start to see the benefits of your new catalyst products making into the market or is this also a still years off before it becomes visible.
John Steitz: No, Dimitry it has joint again, you know I thing one statistic that Mark talked about in his prepared remarks was our new products growth, and it's exceptional in our catalyst business and that's been driven by some of our new Polyolefin Catalysts, our active cat line of products and our new HPC High Activity Catalyst which are quite attractive to the customer base. And the third, the high gasoline yielding Go-Ultra product line we call, it is getting a lot of interest in customers. Lot of trials and that is paying some dividends for us, we had just short of... just in the range of double-digit sequential volume growth in FCC. And it looks like we are off to a good start in fourth quarter as well. So no, I don't think those are years at all, I think they are in place as we speak and we measure that vitality through that new products index that Mark mentioned.
Dimitry Silversteyn - Longbow: So, that should have a positive impact both on your top line and margins as I would assume that these are higher margin products?
Mark Rohr: Yeah offset by the raw material pressures that you described, because those are real.
Dimitry Silversteyn - Longbow: Okay. And then one final question on the sorbents technologies business, we've heard China at least publicly at a very high government level talk about becoming a better corporate citizen so to speak in terms of pollution and emission. Is that turning into any kind of regulations or directives or some kind of a program internally, which you can point to and look at market removal being closer to being mandated or at least a strongly suggested endeavor in China or a refill kind of climbing uphill here a little bit in and trying to get that product into Chinese markets that may not necessarily be looking for them?
Mark Rohr: Yeah, let me start Dimitry with the U.S. I think we're seeing broad support in the U.S. for mercury specific legislation both in the house and the Senate and we're not probably option being stuffed out of the room of healthcare and others debates there. I think we've already seen that legislation passed in the U.S. So I'm hopeful that as we move forward here in the months ahead, we'll get some bills introduced in the U.S. and maybe get something done into this year or early next. China is interested in this technology. We've heard rumblings that they would like to see the U.S. or take a lead here. I'm not sure that really is a stumbling block for them, that’s [inaudible] from here currently. And we are spending a lot of time in China to promote this technology and it is getting attention but we are yet to see legislative action here. I am hopeful that as the administration spends more time talking with China about ways that we can work together cooperatively environmentally, this is one topic that will be surfaced as a good example of things we can do together.
Dimitry Silversteyn - Longbow: Okay. And then one final thing, on the HPC side, you talked about new units that are going up in India, I guess is they are going through low sulfur router, is there anything on the horizon in terms of U.S., Europe and Japan as far as new regulations that will become a catalyst for the growth of that business?
John Steitz: Well, I think longer term Dimitry, the trend would be non-atomic mode of transportations fuels, I think that could be distinct possibility on the Europe, U.S. in the coming years and
Dimitry Silversteyn - Longbow: And that's diesel so to speak?
John Steitz: I'm sorry?
Dimitry Silversteyn - Longbow: And for all diesel?
John Steitz: Yeah, right and bunker fuels. Shifts started large major peers and
Mark Rohr: You may have seen, Dimitry, there was recently, there was a press going on the great lakes to make that a clean fuel region, that's a good example which will be pretty meaningful.
John Steitz: Somewhere as you've saying in California. And I think that could typically -- these trends start in either U.S. or Europe and then go to the other continents. So, I think the better trend in that area is in some of these emerging economies, where you'll really see a tightening of that self-respect. South America, for example, Brazil and we've got fairly significant issues there on pollution perspective. And you get into the Middle East, India of course and beyond into Asia. So I think that would be the more significant trend where they have made very little progress over the last few years.
Dimitry Silversteyn - Longbow: Okay. But is that something that can be started from existing refineries that have some excess capacity or would that necessitate new refineries and new catalyst units in the regions that you just mentioned.
John Steitz: No, I think it's a combination effect, I would say both.
Dimitry Silversteyn - Longbow: Okay, thank you.
John Steitz: Yeah, thank you.
Operator: Your next question comes from the line of Ed Yang with Oppenheimer. Please proceed.
Edward Yang - Oppenheimer: Hi, good afternoon.
John Steitz: Hi Ed.
Mark Rohr: Hey Ed.
Edward Yang - Oppenheimer: On polymer additives, sounds like bromine is leading and the minerals and phosphorus is lagging relative to bromine and I would like to better understand that.
John Steitz: Yeah Ed, John Steitz here. Yeah, no question on bromine and related products were the work force in the third quarter. We've got a lot of work around mineral to do, there is a lot of competition, we've got a high cost structure and as Luth described, we've really got to work with our employee base in Europe to get that cost down. And I think that's really a sustainability issue for us. So with that, I think we can fix this mineral business by next year that will help us to get margins back on track in that business for sure.
Edward Yang - Oppenheimer: Okay. And it's been several months since one of your competitors filed for bankruptcy and I was wondering if you're seeing any benefit now, are customers switching to Albemarle or at least evaluating Albemarle as a second source supplier?
Mark Rohr: Well I think what we're seeing in markets is pretty responsible activity by the parties. And so we've not seen a lot of market activity because of that, because of that bankruptcy.
John Steitz: Yeah. I don't think there is any material shift, market shift at all. Market share shift.
Edward Yang - Oppenheimer: Okay. And then Mark, usually you get some comfort level with relative to consensus EPS expectations out there. How do you feel about that $0.56 number for the fourth quarter and $2.39 for 2010?
Mark Rohr: Well I think Bob, your buddy asked about next year and we feel pretty comfortable about the number next year and we'll give more clarity on that as time goes forward. I'll try to iterate that I think we've got some in two of our business segments, we've got some tailwinds as we enter the fourth quarter. And then one, we feel pretty good about how it started which is polymer additives, but you've made a bit [inaudible] about that. So certainly I think we feel good about consensus for -- as we wrap up this year and feel good about the number in next year.
Edward Yang - Oppenheimer: Thank you for your help.
Mark Rohr: Thanks Ed.
Operator: Your final question comes from the line of Steve Schwartz with First Analysis. Please proceed.
Steven Schwartz - First Analysis Securities Corp.: Hello everyone.
Mark Rohr: Hey, good afternoon Steve.
John Steitz: Hi, Steve.
Steven Schwartz - First Analysis Securities Corp.: Your caution in polymer additives, is that factoring in the fact that a lot of forecasters are saying wafer starts are going to slowdown in the fourth and first quarter, and with the conclusion of the cash for conquers, I think auto inventories in terms of days have nearly doubled, is that what's behind your caution?
Mark Rohr: Well no it's maybe not that specific. One; Nan Ya PCB Group that's out there, and one of things that they've noted was some concern about some slowing post banks given as they end the year and start the next, and even though it’s been good year-over-year growth, I mean good sequential growth for the last couple of months. And so, I think we're just a bit cautious that like there has been perhaps an overreaction in cutting inventories, there may be an overreaction on the upside as business starts to come down. So it's just caution we're putting out there. We have been told that the market, competence to predict the market about some of the folks like the circuit board group at Nan Ya, we've talked about -- they used to put that in terms of a couple of month kind of window, they pulled it back to a 30 day kind of window. So just general uncertainty about what's going to happen there?
Steven Schwartz - First Analysis Securities Corp.: And to what extent do you think the cash for conquers helped your connectors business.
Mark Rohr: I don't think it was that material on connectors. I think connectors primarily for us driven by broad electronics uses and some durable goods like refrigerators, washing machines things like that in China.
Steven Schwartz - First Analysis Securities Corp.: Okay. And then just in terms of pricing outside a catalyst, because we know all about the metals effect there. In both polymer additives and Fine Chemicals, is it the lack of new pricing that led to the negative numbers or are you actually having to give some price back in certain areas?
John Steitz: Well, tetrabrom and polymers, Steve, tetrabrom is our biggest volume product. So when you look at it, there is a bit of the mix effect on the revenue there, because as year-over-year related to the entire business, tetrabrom is a higher percentage. So there is a bit of a mixed effect and much of our tetrabrom pricing does have BPA tied to it, and year-over-year BPA is down or the trend is certainly up over say the last 30 days with the change in oil pricing and related petrochemical products. So it's kind of a mix bag year-over-year we've seen it go down but we're really concerned going forward on raw materials and energy as Mark mentioned and natural gases is kind of raising it's ugly head now in the fourth quarter as well. And there is a fair amount of ATH, aluminum trihydrate that we buy, that trend has been up, overall [inaudible] so that's creating a bit of pricing issue for us too, but there is a lot of moving parts to that issue, but generally pricing is holding up I'd say specially sequentially very well.
Steven Schwartz - First Analysis Securities Corp.: Okay. So in polymer additives it sounds like it was maybe a little more mix than price that fueled the negative number?
John Steitz: Yeah, primarily driven by larger tetrabrom volumes as a percentage of the total.
Steven Schwartz - First Analysis Securities Corp.: Okay, helpful. Thank you.
John Steitz: Thank you.
Operator: At this time there are no further questions
Sandra Rodriguez: Great. I would like to thank everyone for participating on the call today. If there are any further questions you can contact me at the number indicated on our press release. Have a great day.
Operator: Thank you for joining today's conference. This concludes the presentation. You may now disconnect. Good day.